Operator: Good morning, and thank you for joining us for Marine Products Corporation’s Third Quarter 2012 Earnings Conference Call. Today’s call will be hosted by Rick Hubbell, President and CEO; and Ben Palmer, Chief Financial Officer. Also present is Jim Landers, Vice President of Corporate Finance.
 At this time, all participants are in listen-only mode. Following the presentation, we will conduct a question-and-answer session. Instructions will be provided at that time for you to queue up for questions. I’d like to advise everyone that this conference call is being recorded. Jim will get us started by reading the forward-looking disclaimer. 
Jim Landers: Thank you and good morning. Before we get started today, I’d like to remind everyone that we’re going to be discussing things that are not historical facts. Some of the statements that will be made on this call will be forward-looking in nature and reflect a number of known and unknown risks. I’d like to refer you to our press release issued today, the 2011 10-K and other SEC filings all of which outline those risks. These documents are available on our website at www.marineproductscorp.com.
 If you have not received our press release for any reason, please visit our website for a copy. We’re going to make a few comments about the quarter and then we will be available to answer your questions.
 At this time, I will turn the call over to our President and CEO, Rick Hubbell. 
Richard Hubbell: Jim, thank you. We issued our earnings press release for the third quarter of 2012 this morning. Ben Palmer, our CFO, will discuss the financial results in more detail in a moment. This time I will briefly discuss our operational highlights.
 Net sales for the quarter were 73% higher than one year ago. Net sales for the quarter increased by 125% due primarily to increased sales of our value-priced Chaparral H2O and Robalo models, although all of our model lines experienced increased unit sales. This increase was partially offset by 24% decrease in the average selling price per boat, all of which was due to sales of our value-priced models.
 Gross profit and operating income increased with the increase in net sales. We believe that the overall industry environment has moderately improved due to stabilizing residential real estate market and improving consumer confidence.
 We are very pleased about our 2012 market share gains. During the first 6 months of 2012, we held an 11.8% share, the sterndrive fiberglass market for boats ranging in size from 18 to 35 feet, which makes us #3 in our market for this period. And if you look at just the second quarter, our market share was approximately 12%, the highest market share in our segment. We accomplish this record market share for Chaparral by strong sales for smaller boats in an otherwise lackluster selling environment.
 We also announced this morning that in addition to our usual quarterly dividend of $0.02 per share, our Board of Directors yesterday voted to pay a special year-end dividend of $0.55 per share. This reflects a prudent means of returning capital to our shareholders in an immediate and tangible way.
 With that overview, I will turn the call over to our CFO, Ben Palmer. 
Ben Palmer: Thank you, Rick. For the quarter ending September 30, 2012 we reported net income of $2.1 million compared to net income of $1.2 million last year. Our diluted earnings per share for the quarter were $0.06 compared to earnings per share of $0.03 in 2011. Our unit sales to dealers increased by 125.1% compared to last year. As Rick mentioned a minute ago, unit sales increased throughout our lineup. But the largest increases came from sales of our value-priced Chaparral H2O and Robalo models ranging in size from 18 to 20 feet.
 Average selling prices decreased by 23.9% in the quarter compared to the prior year. This change in average selling prices was also due to the increased sales of our value-priced smaller sized models, which geared lower selling prices than our other models.
 This quarter’s gross profit was $7.4 million, an increase of 59.1% compared to $4.6 million in the third quarter of 2011. Gross profit this quarter was higher primarily due to improved sales. Gross margin was slightly lower at 19.2% of net sales for the quarter compared to a gross margin last year of 20.8%. Gross margin declined due to the higher materials cost as a percentage of net sales generated by these smaller boats. But these higher costs were partially offset by the benefit of leverage of other direct costs including labor and overhead over higher production volumes.
 Selling, general and administrative expenses increased by 46.5% in the third quarter of 2012 compared to the prior-year and were 12% of net sales. These costs increased due to expenses that vary with sales and profitability, such as incentive compensation, sales commissions and warranty expense.
 And as we compare this quarters SG&A expenses with last year’s, I want to note that in the third quarter of 2011 we recorded a positive adjustment of approximately $609,000 to our warranty accrual because of favorable claims experience. This prior-year adjustment should be considered when comparing our year-over-year SG&A expenses.
 U.S. domestic net sales increased by 76.4% in the third quarter of 2012 compared to the third quarter of last year. International sales comprised 18.4% of consolidated net sales in the third quarter of 2012. A slight decrease compared to 19.9% of consolidated net sales last year. International sales increased by 59.4% in the third quarter of 2012 compared to the third quarter of last year. Sales to our Canadian dealers comprised the majority of this increase, although sales in other international markets increased slightly as well.
 Interest income in the third quarter was a $196,000, a decline from $233,000 in the third quarter of 2011. Our balance sheet remains strong. At the end of the third quarter, our cash and marketable securities balance totaled $62.4 million, a $1.4 million increase compared to this time last year, consistent with higher production levels and sales, our inventories increased by $5.3 million with only 22.7% compared to last year.
 As we announced this morning and Rick just mentioned, our Board of Directors has declared a $0.55 per share year-end special dividend in addition to our regular $0.02 quarterly dividend. We will pay both of these dividends on December 10 to shareholders of record as of November 9.
 Our balance sheet will remain very strong after this special dividend. Our projected cash and marketable securities balance after this dividend is paid will support our working capital and capital expenditure needs and will not impact our ability to continue paying our usual quarterly dividend and to continue making investments in our business.
 In addition, we will still have a great deal of available liquidity as well as our public company currency to use as consideration for strategic opportunities, such as acquisitions of other high quality recreational boat manufacturers.
 During the third quarter we repurchased a minimal amount of stock on the open-market, but we stay in ready to make larger repurchases at market conditions we’re doing so. At the end of the third quarter, our dealer inventory was higher than at the end of the second quarter. However, unit order backlog was slightly higher than at the end of the second quarter and significantly higher than the third quarter of 2011.
 We are monitoring dealer inventories closely during the fourth quarter and we will adjust production if it is prudent in light of our expectations for retail sales during the winter boat shows and early spring selling seasons.
 With that, I will turn the call back over to Rick for some closing comments. 
Richard Hubbell: Thanks, Ben. We are pleased with the success of our products in a continuing, competitive selling environment. We also commend our dealer network for its ability to sell our products and provide excellent service to our retail customers. Our continued investment in new product development have really proven themselves this year with our achievement of record market share.
 For our 2013 model year we’ve enhanced the Chaparral H2O and Robalo entry level boats, which have been so successful for us and we believe that they will continue to generate strong sales. A new model in our entry level lineup is the dual console Robalo 207. This model continues with our nationally advertised value pricing campaigns started last year. And offers several expanded features and a slightly larger boat, which we believe will broaden the appeal of these boats for the serious offshore fishermen.
 In addition, we’re introducing 2 new Chaparral SSX models for 2013. These new models, the 257 and the 277 SSX, are smaller versions of our very successful 327 SSX introduced 2 years ago. They have the same styling and some of the same features as the larger 327 and include convertible cockpit seats and additional design touches in the helm stations and other areas.
 We believe that these new models will appeal to the retail consumers in a market segment that we feel offers the additional growth opportunities for us. We’d like to thank you for joining us this morning and we would be happy to take any questions you might have at this time. 
Operator: [Operator Instructions] We will take our first question from Jimmy Baker with B. Riley & Company. 
Jimmy Baker: So your market share gains this year are very impressive, is there a way for you to quantify what portion of that gain in the 18 to 35 foot category is a function of, let’s say the market shifting downward in mix where you now have this heightened presence versus let’s say you’re gaining share on a like size basis? 
Jim Landers: Jimmy, this is Jim Landers. I think I understand your question, it’s kind of a difficult one because I think what you’re asking is how has the market changed - not just our market share gains and we’ve got a lot of data that we put together, it’s kind of difficult to talk about how the market has changed. As we mentioned, our market share gains really came in the smaller boat category. 
Jimmy Baker: Okay. And then - but it’s fair to say that you’re observing the industry or the overall market join kind of disproportionate strength in the kind of lower end of that category? 
Jim Landers: Yes, I think that tends to be the case, but I think just with us, it’s just we’ve not have an offering in those size ranges. And I think we continue to invest in R&D, a lot of other companies half of their strength on that. So I think we probably just coming in at the right time, fresh new models, I think our guys did a great job putting those together and I think it was just the right boats at the right time. But I think the smaller boats are continuing to be across the industry selling much better than the larger boats. 
Jimmy Baker: Right. And did you comment on your retail sales here in the third quarter and do you have a sense for the overall kind of domestic industry retail sales in the third quarter? 
Jim Landers: No, we didn’t, Jimmy. As you may know those data are reported a few months in arrears and kind of the longer you wait the better the data get because more states report and more boats, more counties report, so we talked about second quarter, here at the end of third quarter we understand that, but we won’t have third quarter data till probably January-February, I would say. 
Ben Palmer: Yes, third quarter calendar quarter is always the slowest retail quarter of the year. 
 So, it’s been a reasonable question, but that’s not always a great indicator of momentum really. It - retail sales have slowed in the third quarter compared to the second that is expected normal and not concerning to us. But our dealers are continuing obviously we continue and our production levels during the third quarter we normally experience kind of a - because of the slowdown in retail sales and because of dealers normally understand really being reluctant to take new product during the third quarter, we typically cut back on production. But our production level stayed quite high during the third quarter to be compared to the second quarter there, it’s fairly similar. So that’s, I think, a strong indication of that our dealers are wanting to continue to take delivery of new models. So I think that’s a very good leading indicator - leading end of the winter boat shows in early retail season next year. 
Operator: [Operator Instructions] At this time, there are no further questions. I’d like to turn the call back over to Jim Landers for closing remarks. 
Jim Landers: Okay, operator, thank you, and thanks, everybody, who called in to listen this morning and for your questions. We appreciate the interest and hope everyone has a good day. Thanks again. 
Operator: This will conclude today’s conference call. As a remainder, today’s conference will be available for replay on Marine Products Corporation’s website within 2 hours. Thank you for your participation. You may now disconnect.